Operator: Good morning, and welcome to the Regions Financial Corp.'s Quarterly Earnings Call. My name is Melissa, and I will be your operator for today's call. [Operator Instructions] I will now turn the call over to Mr. List Underwood to begin.
M. Underwood: Good morning, everyone, and we appreciate very much your participation today. Our presenters are our President and Chief Executive Officer, Grayson Hall; our Chief Financial Officer, David Turner; and also here and available to answer questions is Barb Godin, our Chief Credit Officer. Let me quickly touch on our presentation format. We have prepared a short slide presentation to accompany David's comments. It's available under the Investor Relations section at regions.com. For those of you in the investment community that dialed in by phone, once you are on the Investor Relations section of our website, just click on Live Phone Player, and the slides will automatically advance in sync with the audio of the presentation. A copy of the slides is available on our website. With that said, I'll direct your attention to the forward-looking statements slide that should be on the screen right now, and then I'll turn it over to Grayson.
O. Hall: Thank you, List. Good morning, everyone, and thank you for your interest in Regions Financial. Fourth quarter results reflected continued progress towards achieving our primarily goal of returning Regions to sustainable profitability. In the quarter, Regions' reported earnings were $36 million, up $0.03 per share profit, which included elevated credit costs that were partially offset by our decision to preserve our capital position by recognizing approximately $333 million of investment security gains. On an after-tax basis, the impact of security gains amounted to approximately $0.16 per share. Credit costs, including provisioning, OREO and marks on loans held-for-sale were an estimated $0.37 per share after tax. Notably, our core business performance this quarter included solid growth in the middle-market C&I loans of $1 billion or 5%. Strong low-cost or positive growth of $1.1 billion or 2% and an increase in our net interest income and margin and a $47 million or 6% rise in adjusted non-interest income. Additionally, non-loss provision matched net charge-offs of $682 million. Although challenges remain, we are encouraged by signs of economic recovery, generally improving credit quality metrics, and our continued success in properly expanding our customer base. We are recognizing an improving economy in most of our markets, but we expect the southeastern economy to recover at a somewhat slower space, particularly in Florida, where housing remains a serious concern and unemployment continues to stubbornly hover at 12%. We expect to continue make-steady progress towards our goal of returning Regions to sustainable profitability, while also aggressively working through problem assets and reducing our more distressed loan portfolios. We did sell $405 million in distressed loans and foreclosed property in the fourth quarter in our investor real estate loans at period totaled $15.9 billion. We have taken a strong stance and subjected our loan portfolios to rigorous internal and external reviews. We have a solid understanding of the risk of our portfolio and are confident in our ability to successfully resolve the remaining problem assets. Furthermore, our early and late stage delinquencies are down again and internally risk-rated problem loans have now declined for the fourth quarter in row, a precursor we think to additional improvements in non-performing loan inflows. In fact, fourth quarter gross non-performing loan inflows, while still elevated, were down approximately $400 million or 29% from the third quarter low. Total non-performing assets declined over $300 million linked-quarter or 7% marking the third consecutive quarterly decrease. Investor real estate continues to drive non-performing loan inflows at 56% of the total non-performing loan inflow this quarter. As a result, we remained disciplined and cautious in our continuous assessment of credit quality, which has led us to classify a number of credits as non-performing due to identified weaknesses even though they are current and paying as agreed. With that in mind, approximately 37% of business services and non-performing loans at year-end were current and paying as agreed, an increase from 36% at September 30. Income-producing investor real estate accounted for 29% of fourth quarter total non-performing loan inflows compared to 23% a year ago. Although we are devoting considerable time and resources to working through credit issues, the majority of our associates' focus is on profitable growth in our core business. In the fourth quarter alone, average low-cost deposits grew $1.4 billion, bringing the full-year 2010 increase to nearly $7 billion. This further improved our deposit mix and lowered our overall deposit cost. And for the second consecutive year, I'm proud to say that we, again, achieved a strong year in new Checking Account openings, with 996,000 open, right at our goal of 1 million new accounts. At year-end, CDs represented 24% of total deposits, down from 32% in the same period last year. Our overall cost deposits have declined 51 basis points from 115 basis points a year ago and a total 64 basis points for the fourth quarter of this year from last year. During 2011, we expect our deposit mix and cost to continue to improve. As to loans, commercial loan production totaled $14.4 billion, of which $4.9 billion was new loan production, a 50% increase over the same period in the prior year. We experienced solid C&I loan growth in the fourth quarter, C&I period loans primarily middle-market, up 5% or $1 billion linked-quarter. Notably, C&I increases were more broadly distributed across our footprint as 14 of 20 markets increased C&I outstandings in the quarter and at the top of the company, we had increased C&I outstandings overall for six straight months. This did not come from line utilization. Line utilization remains at historic levels, just slightly above 40%, as commercial customers are still not yet building their working capital, but we are seeing loan growth from capital expenditures, mergers, acquisitions and industries with high capital needs, such as healthcare, transportation, and oil and gas. And importantly, most of our loan growth is attributed to taking market share from competitors. In the fourth quarter, we experienced a 5% growth in line commitments and our sales pipelines remain strong. Consumer loan production was $3.2 billion, with $2.6 billion in mortgage production, and importantly, $143 million on lending production. Consumer loan outstandings continue to decline as individuals are still paying down debt, but we are starting to see positive signs. Mortgage production for the year was $8.2 billion, and as I mentioned, $2.6 billion for the fourth quarter alone. In the fourth quarter, we did reduce investor real estate to $1.6 billion, bringing full-year 2010 decline to approximately $6 billion. Additionally, aggregate loans outstanding are also impacted by the fourth quarter by the sale of approximately $965 million in residential first mortgages, which David will provide further detail in a moment. Looking ahead, we continue to leverage our strength as a top, small business lender by emphasizing our branch base, small business lending to preferred industries, staying focused on increasing sales of existing products and introducing new consumer product solutions. We expect to see positive results from changes in our consumer and small business model. Furthermore, we should see middle-market C&I loans continue to grow this year as we benefit from our strong franchise, active calling program, broad-based product capability and superior customer service. Nonetheless, total loans outstandings are likely to be challenged in 2011, using the ongoing de-risking strategy of our portfolio. Fee income is another area where our growth strategies are paying off. Our 2010 mortgage production of $8.2 billion was the second-best in Regions' history. Morgan Keegan achieved results of 12% over third quarter and 9% over the same period a year ago. Assets under management are up to $157 billion or 3.5% higher than the third quarter and 7.9% over the prior year period. We also experienced a record quarter in interchange and ATM income for the year, $368 million. Debit card income is up 18% compared to the same period a year ago, driven by an 8% increase in cards and 13% increase in spending levels. In addition, our new check accounts customers are electing to have debit cards 87% of the time, a record level of penetration for this product. In fact, despite a tough offering environment, we have achieved year-over-year fourth quarter growth in virtually all of our fee-based businesses. Nevertheless, depending on ultimate regulatory changes related to interchange fees and the timing of their implementation, we face additional fee income challenges in 2011. We are working to develop mitigation strategies to rationalize our business under these proposed rule changes. These changes obviously will impact the way we charge for banking services. But as our ways, our' business requires that we deliver value to our customers in terms of service, products, features and pricing. We are trying to better understand both the intended and the unintended consequences of these changes. But we know our business and we will promptly make the necessary adjustments. In summary, we are encouraged by an improving economic environment this year and strongly believe we have the appropriate strategies in place to capitalize on quality revenue growth opportunities, while continuing to limit operating expenses and eliminate non-essential spending. The regulatory challenges will present revenue headwinds, but we're already taking steps to mitigate the potential negative impact. Our customer focus is resulting in incrementally profitable business and increasing market share. Although credit costs are expected to remain elevated in the near term, it should begin to diminish during the year. Our capital and liquidity positions are strong. All in all, we expect continued progress towards our primary goal of returning Regions to sustainable profitability. Finally, I want to thank Regions' associates for their hard work. Their attention to service quality and loyalty continued to pay-off in the fourth quarter and throughout the year. The company's success on this front has been validated by Gallup, which has identified Regions as the top-decile performer in customer loyalty. According to JD Power & Associates, Regions ranks among the most improved retail banks in customer satisfaction, and in the top five in customer satisfaction in the country among primary mortgage servicing companies. And Regions also ranked fourth in 2010 U.S. Small Business Banking Satisfaction Survey. Independent research by TNS ranks Regions' brand favorability the highest of 11 major banks tested within our company's market. Additionally, Prime Performance recently recognized Regions as the top scorer in the category of friendliness and best for overall satisfaction, with service among all large and regional banks, which favorably positions Regions to gain market share. By adhering to our strategy of focusing on the customer, we are continuing to build a stronger company, which will result in long term benefit to our stakeholders. David?
David Turner: Thank you, and good morning, everyone. Let's begin with a summary of our fourth quarter results on Slide 1. As Grayson mentioned, our fourth quarter earnings amounted to $0.03 per diluted share. Pretax, pre-provision net revenue or PPNR totaled $824 million, including several non-core transactions, which are reflected in the supplement on Page 10 and included $333 million in security gains, a $26 million gain related to residential mortgage loans sales; $59 million in leverage lease termination gains, which were offset by a similar amount of tax expense; and a $55 million loss related to the early extinguishment of debt. Adjusting for these items, our adjusted PPNR was $461 million, 2% higher than the prior quarter and 19% higher compared to the same period a year ago. On an annual basis, adjusted PPNR was 4% higher for the full-year 2010 versus 2009. Within PPNR, net interest income was up $9 million and the resulting net interest margin improved four basis points to 3%. Adjusted non-interest revenues totaled $795 million, up 6% linked-quarter reflecting strong revenues at Morgan Keegan. Increased debit card volume and fee-based account growth helped somewhat offset the negative impact from Regulation E. Adjusted non-interest expenses increased $49 million or 4% third to fourth quarter, negatively impacted by an increase in professional and legal fees and incentive-based compensation. Regarding credit quality, the level of non-performing loans declined over $200 million or 6% link quarter. This represents the third consecutive quarter of decline in non-performing loans. The provision for loan losses declined $78 million to $682 million and essentially equaled net charge-offs. Our allowance to net loans ratio increased seven basis points to 3.84%. Let's now take a more detailed look at our credit results beginning with NPL inflows. The inflow of non-performing loans declined to $947 million in the fourth quarter, 29% less than the third quarter's $1.3 billion. Our early and late stage delinquencies are down again, and our internally risk-related problem loans declined for the fourth consecutive quarter. These asset quality indicators serve as an important barometer in estimating future inflows of problem loans. And as a result, we expect future NPL inflows to continue this downward trend throughout 2011. Income producing commercial real estate continues to drive NPL inflows, accounting for a 29% of fourth quarter's migration. As a reminder, income producing CRE credits can be more easily restructured and should ultimately result in lower loss severities than our Land, Condo and Single Family portfolio, which together totaled $3.2 billion as of year-end. These portfolios contributed approximately 28% of fourth quarter's NPL inflows. A substantial portion of our non-performing loans continues to be current and paying as agreed. 37% of our total business services NPLs that remained as of year-end or current and paying as agreed, up from 36% in the third quarter and 23% from a year ago. Now let's look at our overall non-performing assets. As you can see, non-performing assets declined 7% this quarter from $4.2 billion to $3.9 billion and have now declined three consecutive quarters. We sold over $405 million of NPAs this quarter at a discount of approximately 25%, with $96 million consisting of OREO and the remaining $309 million from non-accrual assets sales. Moving on to net charge-offs. Net charge-offs declined $78 million linked-quarter, $682 million or an annualized 3.22% of average loans. At year-end, 2010, our loan-loss allowance for the non-performing loan coverage ratio was 101%, up from a year earlier's 89%, as well as the prior quarter's 94%. The continued decline in gross migration of non-performing loans and the continued decline in non-performing loan balances will be key indicators in determining our provision expense in future periods. Turning to the balance sheet, Slide 5 breaks down this quarter's change in loans. Ending an average loans were down 2%. However, again this quarter, we saw strength in our middle market C&I loan portfolio as average and ending loans increased 3% and 5% linked-quarter, respectively. Much of this loan growth was attributable to taking a market share from our competitors as evidenced by growth in line commitments, which increased from $25 billion in September to $26.3 billion or 5% at the end of the year. And as Grayson stated earlier, our customer's utilization rates have not returned to normalized levels, but continued to persist at lower rates of approximately 40%. In fact, 25% of our business services customers with a commitment have zero outstanding balances. Ending investor real estate declined 9% and has been reduced 27% this year. We will continue to de-risk this portfolio in 2011 and are still targeting to reduce this portfolio to 100% of the bank's risk-based capital, which currently approximates to $14 billion. The linked-quarter decline in residential first mortgage portfolio is due to the $965 million sale, which I will discuss in a moment. Moving on to deposits. Ending and average deposits were relatively, stable third to fourth quarter. But the mix continued to improve with average low-cost deposits of 2% compared to 7% decline in average time deposits. For the year, average low-cost deposits rose 11% compared to a 27% decline in time deposits. Our shift in funding mix to low-cost deposit is favorably impacting our total funding cost as well. In fact, our total funding cost declined 11 basis points to 0.91% in the quarter. Taxable equivalent net interest income improved $10 million or 1% linked-quarter and increased $97 million or 3% for the full-year 2010, versus 2009. The net interest margin improved four basis points during the quarter to 3% and was up 28 basis points year-over-year. Deposit costs declined another six basis points to 0.64% in the fourth quarter and have declined 51 basis points in total this year. Pricing opportunities remain to reduce deposit cost, as we have approximately $13.5 billion of CDs maturing in 2011. And of that, we have $4.8 billion of CDs maturing in the first quarter that carry an average rate of 2.28% and will be re-priced at lower market rate. We continue to experience improvement in loan pricing as evidenced by this quarter's five basis points rise in loan yields to 4.34%. We remained disciplined when pricing new loans, ensuring we are appropriately paid for the risk we are taking and believe that going forward, widening loan spreads will be a key determinant of margin improvement. That said, the margin will face some headwinds in the near-term. As a result of the rating's actions during the fourth quarter, we became more defensive from a liquidity perspective and continued to maintain a low loan-to-deposit ratio of 88%. Excess liquidity impacted the margin by 11 basis points this quarter compared to eight basis points in the prior quarter. During the fourth quarter, we executed sales of $8.1 billion of agency, mortgage-backed securities resulting in $333 million of security gains. The proceeds which were re-invested in similar securities was slightly longer durations. And as previously noted, we also sold $965 million of residential first mortgages in the fourth quarter, and re-invested the proceeds in Ginnie Mae securities. Both of these transactions allow us to preserve capital. As a result of the securities repositioning, the sale of mortgage loans and increases in longer duration deposits, the balance sheet in total remains asset sensitive. However, the impact to our net interest margin from our investment portfolio repositioning and the other activities for the first quarter is estimated to be between five and 10 basis points lower. Let's now shift gears and look at non-interest revenue and expenses for the quarter. Adjusted non-interest revenues increased 6% linked-quarter, driven by a solid interchange income due to increased debit card volume and fee-based account growth and an increase in Morgan Keegan revenues, which reflected strength in investment banking and private clients. Non-interest revenue was negatively impacted $13 million by mortgage servicing rights valuations. Regulation E negatively impacted service charge revenue in the second half of 2010 by approximately $57 million, which is in line with our estimate last quarter of between $50 million and $60 million. We began migrating accounts from free to fee eligible last May, and by March 1 of this year, all of our new and existing checking accounts will be fee eligible. This, along with our mitigation efforts and interchange income growth is largely offsetting Regulation E's effect. Importantly, we have implemented these changes while still growing low cost deposits. Excluding the impact of the Durbin Amendment, which is not yet finalized, we expect 2011 core non-interest revenues to increase somewhat over the 2010 level. Excluding the $55 million loss on early extinguishment of debt, fourth quarter adjusted non-interest expenses rose $49 million or 4% linked-quarter due to a $21 million linked-quarter rise in professional and legal fees and incentive-based compensation. Expenses related to other real estate owned and loans held-for-sale continued to be elevated and amounted to $75 million in the fourth quarter versus $70 million in the third quarter. However, in 2011, these costs are expected to gradually improve versus fourth quarter 2010's level. We fully recognize that in today's environment, we must remain diligent in our efforts to manage expenses, especially since we continue to forecast a low growth, low rate environment for an extended period of time. Consequently, we constantly review all areas of staffing and have eliminated approximately 700 positions in 2010. We also review occupancy and discretionary expenditures for opportunities to improve productivity and efficiency. We expect our core non-interest expenses in 2011 to be slightly down from the 2010 level. Let me now discuss our capital and liquidity. As part of our capital planning process, we recently concluded our capital plans for our board and regulatory supervisors. Our current Tier 1 Common and Tier 1 ratios stand at a solid 7.9% and 12.4%, respectively. And on a Basel III pro forma are 7.6% and 11.4%, well-above the respective 7% and 8.5% minimums required under Basel III. Let me also point out that our capital ratios at the bank level remained healthy as well. When evaluating our capital ratios, we primarily manage the Tier 1 Common ratio because we believe that risk-based measure is the most appropriate one in assessing our capital. Our liquidity at both the bank and the holding company remains solid. In summary, we believe that fourth quarter results demonstrate that we are making solid progress in executing our plan to return Regions to sustainable profitability. With that, operator, that concludes our remarks and we can open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Kevin St. Pierre of Sanford Bernstein.
Kevin St. Pierre - Bernstein Research: The third quarter 10-Q, you had identified $1 billion of potential problem commercial and investor real estate loans, and then looking at the NPL inflow slide, Slide 2, is it correct that about $700 million of those went on NPL status?
David Turner: Kevin, which slide are you...
Kevin St. Pierre - Bernstein Research: I'm looking at the NPL inflows by Type, Slide 2, the left side.
David Turner: Restate your question again, Kevin .
Kevin St. Pierre - Bernstein Research: So in the Q, you had identified -- you said approximately as of September 30, 2010, you had approximately $1 billion potential problem commercial and investor real estate.
David Turner: That's the $947 million as equivalent to that $1 billion that we've stated over the potential problems.
Kevin St. Pierre - Bernstein Research: So the $947 million is the number now?
David Turner: $947 million is the actual number that migrated in the non-performing this quarter. The $1 billion was our estimate of those loans that were current and paying as agreed, they were accruing loans but had the potential because of some risk that we saw in them could migrate in the future quarters to non-performing. So the $947 million came out of that $1 billion.
Kevin St. Pierre - Bernstein Research: So predominantly all of them float into non-performing?
David Turner: That's correct.
Kevin St. Pierre - Bernstein Research: And can you update that $1 billion number for December 31?
David Turner: What we can tell you is that we will have that obviously disclosed in our Q when we finish our calculation. But if you look at our early-stage delinquencies and you look at our late-stage delinquencies, you look at our internally risk-related problem loans that we're saying all those are down, which gives us confidence that our migration is trending down. We have not come up with the final number of what would be in the 10-K at the end of the year yet.
Operator: Your next question comes from the line of Scott Valentin of FBR Capital Markets.
Scott Valentin - FBR Capital Markets & Co.: Just regarding the NPA inflows, they were down linked-quarter, but if I recall correctly, third quarter had a change in policy on the NPA side, which contributed to some of that growth. And I guess, were there any changes at all in NPA policy this quarter or any kind of 4Q clean-up? Because we were kind of expecting a lower level of NPA inflows.
Barb Godin: This is Barb Godin. There was no cleanup this quarter and even last quarter, there wasn't a policy change. It was just a more rigorous review about what's actually in our portfolios to make sure that we have identified everything where there was no guarantors' support, as an example, that we decided that we would move those into non-performing loans and that's a reason you saw the spike last quarter, but not this quarter.
Operator: Your next question comes from the line of Marty Mosby of Guggenheim Securities.
Marty Mosby - Guggenheim Securities, LLC: David, congratulations on hitting your 3% net interest margin goal where you've been working on that for a while. What I want to ask was, as we've gone through this benchmark and now we're talking about maybe giving some of it back, how are we seeing that as you get into the first half of next year? I mean, are we really seeing a 10 basis point compression? And what are some of the sources for that?
David Turner: What we said was we became much more defensive in the fourth quarter on liquidity given our ratings action that we're taking. And we still continue to be more defensive than we normally would be with regards to liquidity. Just excess cash that we have cost us about 11 basis points, as I mentioned, in the fourth quarter, that's up from the eight basis points in the third quarter. We do believe, as we continue to have our improved migration that we talked about in terms of problem assets and sustainable profitability that they need to be defensive with regard to liquidity growth upside, which will give us the ability to put excess liquidity to work in a more meaningful manner. Also, if you look at our investment portfolio, it's pretty much all agency guaranteed, and I think what you'll see is, at some repositioning out of that over time into other asset classes. But today, liquidity was taken precedent over earning. So we hope, maybe during the first half, you'll still see pressure there, but it should lighten up towards the back half of the year.
O. Hall: Marty, this is Grayson. I think the other thing in everything that David said around liquidity and the securities portfolio, I think you have to add to that two things. One is, what we've seen in the fourth quarter is some of the best loan production that we've seen in quite some time. Our commercial loan production up 47% over prior year. Our consumer loan production up over 8% over prior year, but that hasn't translated yet into a balance sheet growth. But it's a very positive sign. As well as the assets that are on our books that are in investor real estate are moving off of our books quite rapidly. The rates there are much less advantageous than the rates for the new business, if we're putting on the books, as well as we're re-pricing our book as it renews. We do think some of the actions we took in the fourth quarter will temporarily harm or compress our margin, but we do plan our way back over time.
Marty Mosby - Guggenheim Securities, LLC: And I guess just following up to that, you mentioned the wider loan spreads, how are you being able to accomplish that when you're seeing the competition and were really starting to see the commercial, industrial and specialty across the board, all of the banks competing in that same kind of group.
O. Hall: Obviously, there's a lot of competition in that particular segment. What we've seen is an awful lot of competition in the upper end of commercial C&I. Where we have been most successful is in the commercial middle market and in small business and in some of our specialty lending functions, in particular, energy, healthcare and asset-based lending. We still are seeing opportunities to make loans at rates that we believe pay us for the risk we're taking and on to spreads that we feel are fair and appropriate for both us and the customer.
Marty Mosby - Guggenheim Securities, LLC: David, the last thing on this topic and then I'll let you move on to next question is, with your new kind of deposit base that you have, what are you kind of estimating now as your long-term core net interest margin once you get the benefit of the liquidity going away, the non-performers going down and you get the right sensitivity as rates move higher? Kind of what's the goal that you with long-term would be shooting for?
David Turner: We've talked about, as things settle out and we get to normal, whether it be liquidity, the marketplace, that we could be in that 3.20% to 3.50% range in terms of margin. The question is when will all that settle out, when we can get back there and get our balance sheet positioned the way we want? We talked about moving mortgage from the business services to consumer and that takes some time getting our excess liquidity to work. When all that happens, we think we can get back to that margin range.
O. Hall: But we believe those are reasonable targets for us to have and we just have to reposition our balance sheet in order to achieve that.
Operator: Your next question comes from the line of Betsy Graseck of Morgan Stanley.
Betsy Graseck - Morgan Stanley: One is on the reserve ratio, obviously, remained relatively strong, high in the quarter at 384. But you've got NPL inflows and balances coming down, so I'm wondering how you think about that reserve and when we should expect to see some reserve release to start.
O. Hall: Betsy, obviously, our perspective is, that we want to stay very disciplined as we look at our allowance methodology and as we see improvement in our credit metrics, it's obviously playing into that process and into that methodology. We are being careful not to run the risk of pre-mature release of reserves, but as our credit metrics improve, we would expect the process to take that into account, but we're being disciplined at this juncture.
Betsy Graseck - Morgan Stanley: And then as we look at the CRE portfolio, I know you're in the process of de-risking run-off on the portfolio, but what do you think the right size is for your organization?
O. Hall: Well, yes, I would tell you that, that perspective is evolving. We clearly have come out and said that we want the investors CRE to be no more than 100% of risk-based capital or $14 billion. If you look at it, we're $15.9 billion today at period end. And it continues to come down fairly rapidly. We have substantially reduced our exposures and if you look at Land, Single Family and Condominium, at the end of last year, we were at about $5.6 billion, we're about $3.1 billion, $3.2 billion today. That's down over 44% in 12 months and we will continue to de-risk. We are still making commercial real estate loans. The demand for that product is fairly limited and it's much better underwritten, much better priced, but it's not sufficient today to sustain the level of commercial real estate loans that we have. We will expect that to improve as the economy improves, but it's quite candidly, we could see our commercial real estate loans drift below that targeted level of $14 billion.
Operator: Your next question comes from the line of Craig Siegenthaler of Credit Suisse.
Craig Siegenthaler - Crédit Suisse AG: You provided us with some details around the high-brokerage and high-banking revenues, really the Morgan Keegan business in 4Q, and how we should think about a good run rate going forward here?
O. Hall: Well, I think in larger part, it's going to continue to be driven by the economy. We have been and the performance the markets thereof, as you saw in our businesses there, we're seeing good growth in -- the strongest growth we're seeing is coming out of our investment banking revenues. As you may recall, about a year ago, we combined all of our investment banking activities in the one single leadership in Morgan Keegan and they've continued to show progress as that market has improved. Our retail brokerage has as well improved. Fixed income, which has been one of the best performing units within Morgan Keegan, revenues were down slightly there, but still very, very strong. And our Trust business, while not a high-growth business has been a very good performer from a margin perspective and has been very efficient in their operations. We believe Morgan Keegan still has the potential to grow from here. But it's going to, I think, when you look at the growth we saw in assets under management, 3.5% quarter-over-quarter, that was very strong. It will take favorable markets to sustain that. But I think we've got a team that's focused on growing that business fairly substantially over the next several quarters.
David Turner: As I think about Morgan Keegan in total, see if the economy continues to improve, you'll see some downward pressure on the fixed income with the private client, investment banking, as Grayson mentioned, and the consistent performance in Trust will serve to mitigate that. So we're looking for that continued expansion really in the investment banking, which showed great promise in the fourth quarter.
Craig Siegenthaler - Crédit Suisse AG: I don't know if Matthew Lusco is on the call or not, but I was just wondering if there is any changes to how you recognize NPLs or severity valuation in the first quarter. Is the current changes made or the changes made in 3Q, is that really kind of the go forward process at this point?
O. Hall: I think that when you look at our processes around managing credit risk and I'll ask Barb Godin to speak just briefly on this after I make a few comments. Today, we continue to make process improvements in all of our processes in terms of managing credit risk, but the primary issue is just continued focus on execution. Making sure that we're executing our processes in a way that give us confidence, our Board confidence and our Regulators confidence in sort of where we stand from a credit risk perspective. Barb?
Barb Godin: As you mentioned, in the third quarter, we took a very critical eye to all of the assets that we had to make sure that they were appropriately risk-rated. But we understood the guarantor's strength behind all of the loan, and you saw that increase in the third quarter, but that kind of discipline has carried on clearly into the fourth quarter and I anticipate that is one will carry on forever, quite frankly, as we look forward. So I really don't look to any large changes to say that we're going to be doing anything significantly differently as we think about the future.
Operator: Your next question comes from the line of Matt O'Connor of Deutsche Bank.
Matthew O'Connor - Deutsche Bank AG: So I kind of feel bad asking a question on interest rate risk, because all quarter along, we're so focused on the credit and obviously, things are moving the right direction there. But we did get a big move up in interest rates and what's interesting is, I think, your balance sheet is very well-positioned from rising short-term rates, but like a lot of other banks, you do have exposure to rising long-term rates. So I'm just wondering how you're thinking about that as you manage your securities book in terms of whether it's trying to hedge some of that, adding floaters and then just generally the size of the securities book going forward.
David Turner: You're right. It has been tough this past quarter managing that interest rate risk, but as I mentioned earlier, the liquidity was much more important to us and that's what the investment portfolio is. We continued to be asset-sensitive, perhaps down a little bit from the third quarter, but still asset-sensitive. So if rates rise, we will benefit from that. Our goal is not to continue to grow our securities portfolio. But as we continue to be successful in those deposit gathering, that gives us some opportunities, too. You saw our pre-payment of FHLB that we did literally right after the end of the third quarter and I think we disclosed that in our third quarter 10-Q. But we can continue to put -- as we grow deposits, we can be pretty aggressive with the rates there and our long-term goal is not to grow our investment portfolio, obviously, put it to work in loan growth. You heard Grayson's comments in terms of we really have seen some terrific loan growth in the commercial middle market space. So we will look for opportunities to put that cash to work better. I think the construct of the investment portfolio is as important and we have most of it in agency guaranteed mortgage backs, residential mortgage backs and we're looking at playing back in this other asset classes that would give us a little better yield for that. So that's kind of the global comments, I would say.
Matthew O'Connor - Deutsche Bank AG: And then, I guess, on the net interest margin, a little bit as a follow-up, you gave, I think, a pretty explicit guidance in the first quarter and then down maybe five to 10 basis points and gave us some of the pluses and minuses from there. Should we expect the first quarter to be the bottom and then kind of flat to trending up from there or maybe more in the back half of the year?
David Turner: No, I think you'll see a little bit of a reset there in the first quarter and we should be able to hold kind of where we land in the first quarter throughout the year.
Matthew O'Connor - Deutsche Bank AG: And then just separately on expenses and you've talked about continuing to manage them and obviously the environmental stuff, it is what it is. But just more broadly speaking, is there more that you can do and kind of the underlying expense of the company? When I look at the salaries and benefits, they've been flat the last three years, so a lot has been done and I'm just wondering how much more there might be out there?
O. Hall: This is Grayson. I don't believe that managing expenses as ever over. There's always opportunities that we have to try to be more efficient, and obviously, with the revenue headwinds that this industry is facing and this institution, in particular, we have to find ways to be more efficient. We consolidated 122 offices last year and reduced 700 positions out of the company, as well as reduced a number of discretionary spending categories plus some fairly large amounts. We continue to do that. I really don't look at expense reduction as a program, but it's a discipline that you have to add every day in the business and we continue to look for opportunities to reduce our expense and you will see that over time. Obviously, the environmental expenses are the biggest opportunity we have as the credit metrics improve, you'll see the benefits from those expenses starting to moderate.
Operator: Your next question comes from the line of Ken Usdin of Jefferies.
Kenneth Usdin - Jefferies & Company, Inc.: Looking at the adjustments that you made on the pretax pre-provision side, 461 versus charge-offs still in the 680 range. Just wondering if you can help us understand how you expect that gap to narrow over time and at what point do you think you can get back to kind of that core break-even as far as your pretax pre-provision covering net charge-offs?
David Turner: There are a couple of things. Obviously, the biggest one is a continued decline in the credit migration of problem assets, which will result in lower non-performing loans, which will result in a lower allowance need. And therefore, I forgot who asked the earlier question, maybe Betsy, in terms of when can we provide lessened charge-offs. So I think you really have to look at that migration is being a key indicator. We're feeling better in terms of the trends for migration and the ultimate declines in non-performing loans. You can see our chart where we're having more move to approval status there and also cash collections are increasing. We do think we're going to have better opportunities to restructure some of those loans and get those out of non-performing in time. And again, as the non-performer comes down and the need for the reserve comes down, we'll provide less than charge-offs. The other component, the other side is really working on the PPNR. And we're looking at for new credits that are going on the books, making sure we're being paid appropriately for the risks that we're taking and that has been a big plus for us as you saw our improvement in loan spread of five basis points. We continue to have ability to re-price deposits in terms of the CDs that are maturing, as I mentioned earlier. So we'll continue to have pick-up on that front as well. And from a non-interest revenue standpoint, we think we'll be stable from an NIR standpoint throughout the year. So really, turning credit that enables us to provide less in charge-offs and then increasing incrementally our PPNR is how we'll get to that level.
Kenneth Usdin - Jefferies & Company, Inc.: And do you think that something that can happen this year? And I'm thinking about it more so in terms of before we contemplate reserve release, just in terms of your ability for PPNR to exceed net charge-offs?
O. Hall: We have to be careful not to give guidance on that issue, but I would add a couple of thoughts to it. As you look at our charge-offs for the quarter, I would direct your attention to two components of that charge-off. One is valuation charges are collateral valuations. If you look at over the past several quarters, it's continued to trend downward. It's been a substantial part of our charge-offs, not that real estate values have bottomed in all of our markets. but obviously the pace of decline has slowed and there seems to be some stabilization coming in the many markets and those valuation charges should continue to moderate if the economy continues to go along the same line we are today. The other component I would tell you to look at is the loans, distressed loan note sales and foreclosed property sales. Obviously, a big part of our charge-offs have come out of our aggressive stance on de-risking our portfolio. We did $405 million in distressed note sales and foreclosed properties this past quarter. There's a substantial amount of charge-offs that comes with that. We fully expect that strategy to moderate as our inflows moderate. And we have to see that happen first. And when we see that, I think, there is an opportunity for us to have those two components, PPNR and charge-offs cost.
Kenneth Usdin - Jefferies & Company, Inc.: My second question is can you just update us on what the level of the DTA was at December 31? And then, how you guys think about capital planning with regard to the DTA as far as how you think about your capital levels that you'd like to live out going forward?
David Turner: We have, at the end of the year about $1.4 billion in DTA. That's up about $275 million from the level in the third quarter and that's primarily due to -- we had deferred tax liabilities that actually offset DTA in the third quarter rate related to our unrealized gains in the securities portfolio, so since we realized those DTL went away, which increased our deferred tax asset. Right now, we disallow about $400 million in capital from the DTA. That's down slightly from where we were in the third quarter and we do believe that, that $400 million will come back to us. It's about 40 basis points of Tier 1 Common. We believe that's just a matter of time before we can take that into our capital calculation. But in terms of our planning, we think where our Tier 1 Common right now is pretty healthy at 7.9%. We clearly are still a whole TARP in it, and at some point, we will be in a position to repay that and we've looked at what our Tier 1 Common we think needs to be from our early management standpoint, as well as what our regulatory supervisors believe. But it's 40 basis points left to come back into capital.
Operator: Your next question comes from the line of Kevin Fitzsimmons of Sandler O'Neill.
Kevin Fitzsimmons - Sandler O'Neill: Grayson, we're getting to the point, obviously, whereby the end of the first quarter, where the regulators are supposed to be done with their stress tests and there's been a number of SCAP banks that have already come out and repaid TARP and raised capital. Can you help us just how you look at that trade-off between if you are on the cusp here of the next few quarters of improving, and getting back to core profitability, how do you look at that trade-off between raising now and getting out of TARP versus choosing to wait longer if, perhaps that amount that you might have to raise is more than you think you're comfortable with, but having that stigma of being perhaps, the last TARP bank of this SCAPs left with it? And is that even a stigma that is relevant for competitive reasons? If you can just give us some sense of how you look at those trade-offs?
O. Hall: Again, our positional TARP repayment really has not been modified. We still believe that the best strategy is for us to be prudent and patient. We have discussed at length our capital plans with both our Board and with our Regulatory supervisors. We feel very confident in the plan that we put together. And we believe that we are executing along that plan. We do believe it's in the best interest of this organization and our shareholders for us to continue to focus on returning to sustainable profitability and giving into position with credit. We're, both our Board, our shareholders and our supervisors feel confident in repayment and repayment on terms that are more favorable. So we will continue to be patient and prudent. We're working through that and I do think that obviously with the activities going on around us that we watch those very carefully, understanding how those decisions are being made. I do not think that TARP is a competitive problem. We're not seeing issues with our customers either on the consumer or the commercial side. The bigger issue with our customers is service, product and making sure that they've got trust and confidence in this organization. At the end of the day, most of the stigma around TARP is internal with our people and external with our investors. And so we're trying to be balanced in our approach, but remain patient and prudent in that regard.
Operator: Your next question comes from the line of Christ Mutascio of Stifel, Nicolaus.
Christopher Mutascio - Stifel, Nicolaus & Co., Inc.: David, you mentioned on the loan sales, the problem loan assets that were sold they took about 25% discount on the loss on those. Is that discount to the carrying value of those loans?
David Turner: It is.
Christopher Mutascio - Stifel, Nicolaus & Co., Inc.: If that's the carrying value, I think like a fairly substantial hit for at least, I would think, some of those are already in the held-for-sale portfolio. So what does that mean for future sales? Do we have 20%, 25% hits coming from problem loans that might be disposed of in future quarters?
David Turner: All those didn't come from held-for-sale. I think we have also a chart that shows kind of what our held-for-sale was in...
O. Hall: They came from foreclosed properties, held-for-sale and a few non-performing loan assets.
Barb Godin: That's correct. This is Barb Godin. We think the larger hit from those coming from a non-performing loan group, out of a held-for-sale, before '05, we sold approximately 187 coming out of our held-for-sale in the fourth quarter.
Christopher Mutascio - Stifel, Nicolaus & Co., Inc.: So the bulk of it was not mark-to-market?
Barb Godin: That's right.
Christopher Mutascio - Stifel, Nicolaus & Co., Inc.: Going forward, in terms of loan dispositions, do you think -- we you see the same of type of trend where on this fee sales of loans from the non-available-for-sale portfolio?
Barb Godin: No. In fact, we want to ensure that what we are selling is going to be coming out of the held for sale portfolio and the change that we're making clearly, we're seeing an inflection point in the market where right now we believe it's in the shareholders' best interest and it makes more economic sense that we actually spend more time around the restructuring of these loans versus looking for sale opportunities. We'll always have sale opportunities. They will always come along and we'll address those when we balance that against, is it better for us to hold that asset now and look for a better outcome in the coming quarters. Again, what we have coming in, for example, from income producing properties, there is much more opportunity than there has been in the past for restructures of those loans.
O. Hall: And as far as loan sales go, our priority would continue to be to sell out of our other real estate owned and our held for sale portfolio.
David Turner: If you look at our chart on the back of the -- on the supplement on Page 23, you'll see, we generated gains on our held-for-sale and that's just trying to get the mark exactly right you'll see we do have write-downs during the quarter. They have been pretty negligible and we've generated some gains each quarter. So what that tells us is that our marks that we take will renew things to held-for-sale are pretty accurate.
Christopher Mutascio - Stifel, Nicolaus & Co., Inc.: If I can ask one follow-up, David, you broke even with some gains this quarter, but the book value per share was down about 5%, the tangible book value was down about 5% because of the OCI impact. Given the balance sheet restructuring, if you will, on the investment security side that you took during the quarter, could we see some modest deterioration in tangible book value if interest rates continue to rise because of any further hits you take in the OCI on the new investment securities portfolio?
David Turner: Well, without giving you explicit earnings guidance, I would tell you if you just looked at that, the impact of that, clearly, if the tenure is going up, everybody is going to have more risk in terms of unrealized gains either deteriorating or generating unrealized losses, which would put pressure on your tangible book value. But we had pretty wild swing in the tenure this fourth quarter and we don't see that change moderating some as we go through the first quarter, so we think the risk of having a tremendous reduction, if you will, in intangible book value from that alone, is far lower than it was in the fourth quarter.
Operator: Your next question comes from the line of Heather Wolf of UBS.
Heather Wolf - UBS Investment Bank: Just a couple of quick questions on your C&I growth. The 5% quarter-over-quarter growth, how much of that do you think is seasonal due to inventory investments?
O. Hall: Well, I would say that clearly, there is a seasonal aspect of our business and generally, the fourth quarter is a good quarter for our Commercial Lending business. But when you look at comparing our rates to the same period last year, as I mentioned a moment ago, our Commercial business, excluding investor real estate is up 50% and even if you include investor real estate, it's up 44%, so while there's a seasonal aspect to it, we're seeing a real shift in demand and it really, again, as I mentioned earlier in my presentation, it's really not about increased line utilization. We only saw a very minor improvement in line utilization; we're right at 40%. Most of it was really around capital expenditures for equipment, in particular, technology. Also, in acquisitions of companies and/or properties, and again, most of the growth we saw the three segments that I pointed out was Healthcare, Energy, and also Asset-based Lending.
Heather Wolf - UBS Investment Bank: So it sounds like you think the growth rate for this category in 2011 can accelerate from where we're at from that 5% even though you think there was a little bit of seasonality in that.
O. Hall: We think that opportunity exists depending on what assumptions you make about the economy, if the economy continues to trend in a very positive way, the last few months, then I think there's obviously upside opportunity for us in that particular segment.
Heather Wolf - UBS Investment Bank: One last question, you guys don't provide the loan yields yet for the individual categories. Can you give us a feel for what happened to C&I loan yields quarter-over-quarter?
O. Hall: We haven't given that guidance. So, David, do you want to make a comment on that?
David Turner: They are up. We gave you guidance. In total, we just haven't broken it down by quarter, but in that particular segment, they are fairly close to what we told you in terms of total loan portfolio.
Operator: Your next question comes from the line of Brian Foran of Nomura.
Brian Foran: Just circling back to the NIM issue. I guess one of the questions I get a lot and I hear you on the asset sensitivity the excess of cash, the NPA drag, but a lot of banks have similar issues and you're the last, so the big banks, that's kind of a 3% or guess a little bit below next quarter. So I mean, is it just that you have these issues in outsize proportion or when you benchmark yourself relative to all the peers, is there something else that is wrong right now?
David Turner: This is David, Brian. Clear, everybody has similar issues, but I think, we have probably more excess liquidity. That's 11 basis points from a credit standpoint, non-accruals and interest reversals, that's about 16 basis points for us and has been in that range just about all year. I think one of the key things we want to talk about and will do over time is changing our mix of business and in our loan portfolio, which is more largely concentrated on the business loans side versus the consumer side. And I think with the exception of one or two others, they have a bigger consumer book than we do. So we're going to look to move that. We think the ability to forecast losses in the consumer is a little easier than on the commercial side. So that you could price for that better. And I think the overall yields there will help us. So our consumer risk is really made up of two things: The one-to-four family and then also the HELOC book. Our HELOC book is about 90 basis points below where our peers are, so over time, we'll get that out as people re-finance their mortgage, we can get the rates up on our HELOC book.
O. Hall: Just following up on that same question, I think, the other factor Jeff placed in there is that the mix of fixed rate loans, the variable rate loans and we went into the cycle with a lot more variable rate than our competitors and they have paid a price for it. Certainly, as we move forward, we're going to come closer to here. But it's really on the lending side, the deposit mix, obviously, our deposit costs were too high a year ago. We've moved that more to peer levels. But our loan yields, still we haven't gotten to the peer level, part of it is mixed and part of it is pricing and we make the improvements on both.
Brian Foran: On the performing non-performers. Is there enough experience so far to tell us what the difference in ultimate charge-off rates is on non-performing nonperformers versus performing non-performers, or are there any stats you can give that help us kind of think about how much lower the loss of experience should be on that 37% of the NPAs that are current?
Barb Godin: This is Barb. I don't think I can give you anything that is percentage-wise. What I can tell you is just anecdotal experience and what that means is we’re able to look at those performing non-performer in a very different light, i.e., there is much more opportunity for us to restructure them and get them back to accruing status. So, the numbers will (tell) off themselves in due course, but I do see them as a much better quality non-performing loan if there's any such thing.
Operator: Your next question comes from the line of Christopher Marinac of FIG Partners.
Christopher Marinac - FIG Partners, LLC: Just wanted to ask a forward-looking question about TDRs and do you think that the TDRs would come down or trend down in the next quarter or two?
Barb Godin: Yeah, I think TDRs are going to probably stay relatively stable as we look forward and again remembering that on the TDRs any change that we make to a loan, be it on the consumer or the commercial side, we automatically are sliding in as the TDRs. So, I really don't see a lot of change on that.
Christopher Marinac - FIG Partners, LLC: Grayson, real quick on the Morgan Keegan side, do you have any thoughts or I guess goals on operating leverage for having more drop-down of pretax income when you have sequential quarter pickups of revenue like you did last quarter?
O. Hall: Well, I'll tell you, we've got John Carson and the team at Morgan Keegan working hard on trying to improve not only top line, but the bottom line. We've made improvements there and we'll continue to make improvements there. As you are all aware, we did an awful lot of legal expense in that group over the past year. That seems to be subsiding somewhat, but we are anticipating a better bottom line out of that group in 2011.
Operator: Your final question comes from the line of Chris Gamaitoni of Compass Point.
Christopher Gamaitoni : Just with regard to getting market share, could you go into a little description, who you are gaining that from, peers of size and in what markets?
David Turner: I think as the large banks are focused on that higher end corporate customer that commercial middle market seems to be opening up for us. So I think that the competition is little less in that commercial middle market and small business in particular versus the large corporate. That's where you are seeing really tough competition among all the players and that's where the spreads are getting tight and as we had mentioned on previous conferences and we want to be paid for the risks that we take. And we're not going to sacrifice yield just to book production. So that being able to stay in our space that we think we have a competitive advantage for in that commercial middle market, taking it from the bigger players is where we're seeing it.
O. Hall: I'd tell you from looking at the numbers as well as travels around. Our footprint, we're seeing strong growth, as I mentioned it, it's not in one particular place, literally out of our – we divide our franchise up into 20 markets and literally had growth in C&I in the fourth quarter out of 16 to 20 market. The four markets that didn't grow were relatively stable. So, when you look at it from a geographic standpoint, we saw especially strong growth in Texas and in Tennessee and in Georgia where three markets that we saw strong growth and two of those markets, Texas and Georgia, we have a fairly limited presence there it's a good presence, it's a good set of bankers but we only have dominant share in either of those markets. Tennessee, we have a very dominant share and did very well there, but there is some industries located in Tennessee that gave us particular advantage, in particular healthcare. So, we are seeing growth widespread across the franchise and when you look at who we're taking that from is varied market-by-market. There is still some disruption in the market that we're taking advantage of as events unfold. But as David said, part of it is, is we focused a little bit lower down in the middle market and lower end of C&I and in the small business, in particular, which is not – the competition has not been as stiff there.
Christopher Gamaitoni : A separate follow-up, how much allowance do you have against your consumer TDRs and what's the re-default rate been on that portfolio?
Barb Godin: The re-default rate which is 22%, ever 60% or more, and we generally have not provided guidance to this point on how much we have established by way of a reserve against the TDRs.
O. Hall: The TDR balance is predominantly made up of the residential loan assets and our recidivism rate that Barb has indicated, it has been 22%. It's held pretty steady at that level for some time.
Barb Godin: Absolutely has.
Operator: At' this time, there are no further questions. I will now turn the call back over to Mr. Hall for closing remarks.
O. Hall: Well, my sincere appreciation for everyone's time and attention and in particular, for your interest in Regions Financial. We hope today's call was helpful. We'll stand adjourned. Thank you.
Operator: This concludes today's conference call. You may now disconnect.